Operator: Good morning everyone, and welcome to Cresud's Second Quarter 2015 Earnings Conference Call. Today's live webcast, both audio and slide show may be accessed through the company’s Investor Relations website at www.cresud.com.ar/ir by clicking on the banner Teleconference. The following presentation and earnings release issued last week are also available for download on the Company's website. After managements' remarks there will be a question-and-answer session for analysts and investors. At that time, further instruction will be given. [Operator Instructions] You will also have the opportunity of sending a question via webcast by clicking on the question to host tool. Before we begin, I would like to remind everyone that this call is being recorded and that information discussed today may include forward-looking statements regarding the Company's financial and operating performance. All projections are subject to risks and uncertainties and actual results may differ materially. Please refer to the detailed note in the Company's earnings release regarding forward-looking statements. I will now turn the call over to Mr. Alejandro Elsztain, Chief Executive Officer. Please go ahead sir.
Alejandro Elsztain: Hello, good morning everybody. We are beginning our second quarter 2015 conference call. If we go to page number two, we see the main highlights for this semester. We are seeing the progress of the season 2014-2015, in our farms; in general, the climate conditions are very good. I would say that in the four countries that we are today, majority of the crops are expected to be in very good shape. At the same time, because of the record of the United States corn and soybeans harvest, we saw a big drop on the prices and this is affecting the operational business of Cresud, and the whole farmers in the world. But because of our model, we are not so concerned, because we are very, always expecting more in the real estate and the development part of the business. The depressed commodity prices in Argentina, an example, is offset in many parts because of the country is expecting very high yields, and so some of the operational is going to be positive. In the financial result of the six months, for this period, we grew in our balance sheet to 2.9000 million pesos that is a 37.6% comparing to last year. And the operational income we achieved 1,400 million pesos that is a 283% comparing to last year. The net income for this period is a loss of 163 million pesos comparing to a 354 million pesos and to the Cresud’s shareholders it’s a loss of 260 million pesos comparing to last year of 332 million pesos. And Matias, our CFO, will explain later the big differences. The operating results; we estimated planted area to 211,000 hectares. At the end, we are planting a little less. We are going to explain later. We are developing almost 12,000 hectares on the region. We had only one sale in Paraguay, that BrasilAgro deed, sold a piece of land, we're going to reflect later. And this quarter, the last quarter of this period, we didn't sell any farmland on the region. If we move to page number three, we can see the evolution on the planted area. We expected at the beginning of the season a little growth. Finally, because of the conditions of the weather, we will be almost comparable to last year. We are expecting to be almost same of last year, because of some excess water in North of Santa Fé, La Gramilla farms. So, won't be a growth year of planted area and the breakdown is almost the same what we are expecting to have, the final number. And the general situation on the crop is good. A big majority of the portfolio, we're expecting a good yield here for our portfolio of planted area. When we move to page number four, we can see the regional land transformation and the drop we had year-to-year, we went from 15,000 hectares to almost 12,000 hectares this year drop in Brazil, a drop in Argentina, an increase in Paraguay. We are developing again in Paraguay. In the case of Argentina, this is a cost decision, because the cost - because of the valuation in the country, it's becoming too expensive to develop. We have the permits and we are not doing, because we expect to do it cheaper. In the case of Brazil, less land bank to develop. Paraguay, its beginning again to develop, because of last year didn’t do, because of drought conditions, but last year was good in the yield. We are expecting a normal yield for this year so probably this is going to grow again. So on every year, we decide what to do and what not to do. If we move to page number five we can see the farmland sales we did in this period; that was done in the first quarter, not in the second, like I said before. This is the fraction of Cresca, our farm in Paraguay that BrasilAgro owns, and there was a sale of 24,000 hectares almost that, for $600 per hectare. And so, the last quarter, there were no sales, and we are expecting for more sales in the next semester. So now I will introduce Carlos Blousson to give the presentation.
Carlos Blousson: Thank you, Alejandro. Good morning everyone. If we go to slide six, annual appreciation of farmland in the region, as can be seen in the graph, there has been a solid appreciation throughout the region with a slight decrease in Argentina. The appreciation in Brazil in the last year was 9% to 11%. Appreciation in Bolivia was 6% and in Paraguay was 11% in developed land and 67% in undeveloped land. Let's go to slide seven, good weather condition. The good weather condition in the region allowed the positive start during the planting moment, and we are expecting good weather condition until the end of the campaign. Consolidated planting progress is near to 90% finishing this month. We can see in the map, Argentina presents good water reserves, in general, and some excess of rain in the east of the country, like Alejandro mentioned before. Weather conditions in Brazil were normal in the last quarter and remained stable throughout the period. Rains in Bolivia returned to the normal levels during the last quarter and the Paraguay also presents good weather results. Let's go to the slide six, the ESVA estimation for crop productions Argentina's soybean production for this campaign is expected to increase 5%, reaching 57 million tons, due to the good weather conditions. With regard to corn, we are expecting 22 million tons for this campaign. This downward trend is in direct relation to the corn price. Soybean production in Brazil continued with its upward trend and an 8% rise is expected reaching 94 million tons. Corn production decreased 5% reaching 75 million tons, also due to the price factor, which will mainly affect Safrinha's corn productions. Regarding the United States, soybean and corn reached the anticipated record levels, which originated as fall in price in both crops. Both soybean and corn in the United States continued an upward trend reaching 108 million tons and 366 million tons, respectively. This significant increase in production improved the relationship between supply and demand, thus affecting commodity price. As can be seen in the graph commodity prices of soybean and corn during the last quarter stopped the downward trend and has started to recover 9.8% in soybean and 18.5% in corn but we can see this price falling last month around 4% because of good condition in South America. Finally, the regional status, head status of 2014-2015 campaign is 48.7 in soybean and 11% in corn. Let's go the slide number nine, crop and cattle production. Sugarcane production in Brazil and Bolivia finished and as we can see in the graph, had a significant increase of 40%, near to 674,000 pounds. During this period, the sugarcane price rose to 26,000 per ton. Cattle productions in Argentina increased to 2.9000 tons due to improved weather condition and good management decisions. Cattle stock is 72.8000 heads and prices in pesos sold to a 100% in the last year above annual inflation levels. Milk productions reached 4.6 million liters. Daily milking cows reached 2.2000 heads and individual productions per cow per day increased. to 27.2 liters. Milk price increased 70% also above annual inflation levels. Thank you, Matias will continue with the presentation.
Matias Gaivironsky: Thank you, Carlos. Going to page 10, here we can see the breakdown of our investment in IRSA our urban real estate segments. We had this quarter – this semester very good results in all the rental segments. In shoppings, we increased revenues by 27% and EBITDA by 29%. In offices, we increased 34% in revenue, 63% in EBITDA. Hotels were also a good result, with 73% in revenues and 22% in hotels. Pace of development were lower than the previous semester, mainly because of the lack of stock in this semester compared with the previous one. Last year, we have been delivering units of our Horizon project that this year we didn’t have any stock remaining. And also this semester we sold a lot of office properties, office floors for around 800 million pesos that it was an important increase in EBITDA in this segment for 478 million pesos. So in terms of margins, shopping centers remained at levels of 80% offices increased to 73.1% and hotels in the same line of the previous quarter of 8%. The breakdown of our EBITDA in the real estate segment, shopping center remained the more important segment, leaving aside the effect, the one shot effect that we this year, because of the sales of Madison building in Manhattan and some offices in Buenos Aires, we have 83% EBITDA that came from our shopping center segment and 15% from our office portfolio. Going to next page, here we have the evolution and the main difference from our financial segment compared the previous quarter with previous semester with this semester. So starting this semester with a loss of 354 million pesos, the main effects for this semester were in the grain and sugarcane segment, reduction of 20 million pesos. So here we have two explanations in the grain segment we have the yields in line with the previous semester. But we have lower prices that are affecting the stock that we haven’t sold in the semester. We have other effect in Brazil for the expiration of a tax credit that generated a loss of 20 million pesos compared with the previous semester. And in sugarcane, we have a loss in the previous quarter of 28 million compared with 18.6 million pesos. So sugarcane were higher than the previous semester, mainly because of better expected yields in Brazil that were compensated with lower expected yields in Bolivia. In the beef cattle segment, where sales were almost 40 million pesos higher than the previous semester. In the previous year, we have a loss of 34 million pesos, compared with a gain of 2.4 million pesos this year. The main explanation is because of higher prices. We have holding results for 26 million pesos in this semester, because of the increase in prices. Better production in terms of kilograms, produced kilograms, by 15% compared with the previous year. And the cost increased lower than increase in prices. So we have better margins as well. In milk segment, the previous year we had a loss of 1.4 million pesos compared with a gain of 4.6 million pesos. The main explanation is because of holding results as well. We have a little lower production, because of the composition of our milking cows and compensated with the higher prices of the product. In terms of land sales and land transformations, in line with the previous year, with a field sales in this year, only a plot of land in – the partial plot in Paraguay. So no big results in this semester. And then the other main effect is the urban real estate segment that we increased 328 million pesos, explained by the increase in all the rental segments and compensated by losses in the International segment of IRSA that mainly through the investment in Israel in the company IDB. So compensate partially the higher results in the rest of the rental segments. So then the other important effect is in the line of the net financial results. Remember that the last year, we have here a loss of 957.9 million pesos compared with this year that we had a loss of 696.2 million pesos. So that is the variation of 261.66 million pesos positive for this semester. The main difference between the previous year and this year is the devaluation that affect – remember that we have to mark-to-market our dollar-denominated debt in pesos. So the valuation affects directly the valuation of our debt. And then last year, we have a devaluation of 21% compared with the devaluation of 5% in this semester. So that is the main effect why we have better results this year. And in terms of taxes, we have a decrease of 439 million pesos compared with the previous year. That is mainly because of the sale of the office building in Manhattan that IRSA used to have, and that is the increase in taxes that we have to pay. So with that we finish the profit for this semester with a loss of 163.63 million pesos. And something important to mention is that we only recognize losses on our debt, because of the devaluation, but we are not evaluating any farm, so all our portfolio farms remained book value, plus CapEx. So, remember that all rural real estate in the recent quote in dollars, so in terms of pesos we shall be recognizing much higher results. Going to page 12, here we have the breakdown of our debt. Today, at Cresud standalone basis, we have $375.8 million of debt. Here is total debt; that is the nominal debt $345.8 million. Then with the credit that IRSA has, has from IRSA Commercial Properties, the net debt of IRSA goes to levels of – negative levels of $50 million, considering also the cash that today we have as of December we used to have. And IRSA Commercial Properties' total debt that doesn't include the debt from IRSA, the debt that IRSA Commercial Properties have with IRSA. So total debt at the IRSA Commercial Properties is around $455 million. So, total net debt is $780 million. Debt amortization schedule, we have some debt that matured this year, so we are planning to restructure part of the debt with the local markets. So with that, we finish the presentation. So now we open for questions.
Operator: Thank you. [Operator Instructions] Our first question comes from the line of Federico Rey with Raymond James.
Federico Rey: Yes, hi, good morning and thank you for opportunity. I have a general question regarding the prices in the real estate market. I was taking a look at the slide number six, and I was wondering the reason behind the decline in real estate prices that you're showing there. And my question is, this is the result of the level of development of the rural real estate market in Argentina and the development of the farming sector or this is a reflection of the conditions that are suffering today in the real estate market in Argentina with the restriction with the acquisition of all assets et cetera? And secondly, if you believe that there is any kind of relationship between what's going on in the rural real estate market and the prices in the urban real estate market? Thanks.
Alejandro Elsztain: The drop in the country and we are thinking that there was a small drop in dollars and it's affected mainly because of state poll that is affecting the real estate transactions in the country. The farm industry, because of the drop of the prices of the commodities, decreases the margins. You know that in general, the farms are times earnings and so the effect of a drop on the prices, the exchange rate situation made it tougher market for the real estate, mainly in Argentina. This is affecting less in Brazil and in the region. And so, Argentina today is in a situation of – there are small number of transactions. Really, the market is very quiet, because everybody is expecting a different environment for the commodities. What does it mean? Could come two effects; that the commodities rebound, or a drop in the taxes on exports that everyone is expecting too. So, this is making our market have some drop, but not big and not a lot of operations. And the rest of the market of the real estate is enough steam and we think that there are lot of opportunities to sell and we are expecting to do that in the rest of the countries in the region. And I hope that I explained you clear the real estate situation on the land.
Federico Rey: Yeah. Thank you. That’s clear now. Thank you.
Operator: [Operator Instructions] Your next question comes from the line of Rodrigo Mugaburu with Morgan Stanley.
Rodrigo Mugaburu: I have a follow-up question on the land. Basically, don't you think that this is an opportunity to buy land? If next year, we see some changes on taxes in Argentina, don't you think this could be a good entry point to buy land? And then the second question also regarding to some changes next year. Cattle prices, do you think that the business – I mean if we see an opinion on exports for meat follow in 2016, it's another good opportunity to increase your exposure there?
Alejandro Elsztain: On the beef, we're not expecting to grow a lot in the stock. The beef industry today, in dollar terms, in Argentina, is very expensive, depending the dollar you’re calculating that to the formal official dollar, today it's very expensive comparing to Brazil prices. So it could be an opening but at the same time, today still it's at almost $3. So it’s much more expensive than the rest of the country. So it depends on how you make the calculation. And in the – to buy land in the country, we are – that we were very active buying very contrarian and you don't buy for a 10% gain. We and our philosophy of Company was when there is a big drop or really a big room of growth of price, you take that. So to buy just for a 10% or 20%, this is not the philosophy of Cresud. In general, we are big buyers where no one is buying and we are sellers when no one – our philosophy is not for short movement. Now, we're still selling, because the prices of the land are still – we made lot of gains. To see us to buy land in the country, the drop of the price could be much bigger. And if this is the case and the commodity prices keep very low and we see that drop in Argentina or somewhere else, maybe in the States or somewhere else, we could be buying contrarian. We don't do for a small drop.
Rodrigo Mugaburu: Okay. Thank you. Alejandro. End of Q&A
Operator: There are no further questions. At this time, I will turn the floor back to Mr. Alejandro Elsztain for any closing remarks.
Alejandro Elsztain: Just for – thank you everybody – thanks everybody. We expect the next two quarters of Cresud are the operational, mainly for the crop and we expect to keep doing our business. So thank you very much and have a very good day for everybody. Bye.
Operator: Thank you, ladies and gentlemen. This does conclude the presentation for today. We ask that you please disconnect your lines at this time. Have a great day.